Operator: Good day, and thank you for standing by. Welcome to the Ontrak Health First Quarter 2024 Call.[Operator Instructions] Please advised that today's conference is being recorded. 
 I would now like to hand the conference over to your first speaker today, Ryan Halsted. Please go ahead. 
Ryan Halsted: Thank you, operator, and thank you all for participating in today's call. Joining me today are Brandon LaVerne, Chief Executive Officer, Chief Operating Officer; Mary Lou Osborne, President and Chief Commercial Officer; and James Park, Chief Financial Officer. 
 Earlier today, Ontrak released financial results for the quarter ending March 31, 2024. A copy of the press release is available on the company's website. 
 Before we begin, I'd like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believes, estimates, expects, intends, guidance, confidence, targets, projects and some other expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance but may involve and are subject to certain risks and uncertainties. Other factors that may affect Ontrak's business, financial condition and other operating results, which include, but are not limited to, the risk factors described in the Risk Factors section of the Form 10-K and Form 10-Q as filed with the SEC. Therefore, actual outcomes and results may differ materially from those expressed or implied by these forward-looking statements. Ontrak expressly disclaims any intent or obligation to update these forward-looking statements. 
 With that, I'd like to turn the call over to Brandon. 
Brandon LaVerne: Thank you, Ryan, and thank you, everyone, for joining our call today. I'd like to start with some great news about our newest customer, Community Care Plan. As we have mentioned, the Florida Agency for Health Care Administration, otherwise known as AHCA, has approved Ontrak as a subcontractor for Community Care Plan, a South Florida-based health plan to serve its adult Medicaid population. We are deep into implementation and expect to initiate outreach to new eligible members of Community Care Plan in the next 30 to 60 days. With the addition of Community Care Plan, our overall outreach pool of eligible members for our WholeHealth+ program is estimated to grow by upwards of 10%. 
 I would also like to highlight the significant opportunity for us to grow along with this new customer within the Florida Medicaid population. Community Care Plan is 1 of 5 health plans to be awarded a contract by AHCA for the statewide Medicaid managed care re-procurement, which concluded in April 2024 and goes into effect in 2025 for the next 6 years. 
 Community Care Plan will be expanding its reach to 5 of the 9 AHCA regions across the state, representing 19 aligned counties, which is a significant expansion from its current service area of just 1 region with 1 aligned county. 
 Additionally, the number of payers awarded under this re-procurement was reduced from 9 under the prior contract to 5, competing for approximately 1.3 million Medicaid members losing their prior plan coverage beginning in 2025. This presents Community Care Plan with a unique opportunity to significantly expand health plan membership and will enable Ontrak to expand our targeted outreach pool organically. 
 Ontrak is proud of the value of the products we offer and of the increased efficiencies and higher ROI generated. Here's how we do it. First, our Net Promoter Score is a consistent indication of our ability to deliver a superior patient experience. Ontrak is an industry leader with a Net Promoter Score of 77, which ranks higher than the health care benchmark NPS score of 58. 
 Next, our enrollment success consistently highlights the effectiveness of our experience interacting with members. With WholeHealth+, Ontrak engages the right member at the right time. Through our AI and predictive analytics, we accurately identify the appropriate members for outreach, ensuring efficiency, effectiveness and engagement in a member-friendly way. As a result, over 60% of Ontrak enrollees of our WholeHealth+ program enrolled after only one conversation. 
 Member retention is the next key element in our success. Flexibility and customization of WholeHealth+ allows us to vary the length of the program to optimally match the needs of the member. 60% of Ontrak enrollees participated in program for at least 6 months, with an average length of enrollment of 7.6 months. And Ontrak's flexible graduation can accommodate the unique needs of each enrollee. On average, it takes 12 weeks to progress through various stages of behavior change. With our program averaging significantly longer, members are far more likely to achieve durable outcomes with lasting behavior change. 
 Identifying new mental health diagnoses is another key component of our WholeHealth+ program. Ontrak's program helps our health plan partners more effectively identify and engage members and deliver beneficial behavior changes. Across Ontrak's current book of business, 28% of behavioral health diagnoses identified during enrollment in our WholeHealth+ program were not present in claims during the 12 months prior to enrollment. Undiagnosed or undertreated symptoms can negatively influence behaviors that impact overall physical health. By addressing those behavioral health symptoms, individuals can improve their quality of life, general health and reduce the risk of developing or worsening physical health problems. 
 In addition, proper coding of these diagnoses into members' record increases reimbursement rates for payers, generating incremental ROI opportunities for our health plan partners. Further, in using GAD-7 and PHQ-9 patient health questionnaires, we continually assess our effectiveness in treating anxiety and depression. For example, in our Medicaid line of business, during these follow-up assessments, 38% and 46% of enrollees completing a 3-month follow-up in the GAD-7 and PHQ-9 assessments, respectively, had a clinically significant improvement of 5 or more points of a reduction in their symptoms. 
 Similarly, 42% and 49% of Medicaid enrollees completed a 6-month follow-up in the GAD-7 and PHQ-9 assessments, and 58% and 64% of Medicaid enrollees completing a 9-month follow-up in these assessments have a clinically significant improvement in their symptoms. Each of our lines of business, whether commercial, Medicare Advantage or Medicaid saw further improvement as members progressed through 3, 6 and 9 months of the program, further showing the durability of our program. 
 We are also delivering significant health utilization outcomes. Ontrak's WholeHealth+ program delivers proven health outcomes while reducing costs and increase in engagement, leading to increased quality scores. We reduced emergency room visits by 32%, inpatient admissions by 62% and overall medical costs by 43%. We achieved these results through empowering enrollees and enhancing self-efficacy through the removal of social risk barriers, improving health literacy, facilitating appropriate care navigation and offering coaching for behavioral change. 
 The increased efficiencies in ROIs and Ontrak's WholeHealth+ program offers to its health plan partners is more important than ever given the challenging environment faced by Medicare Advantage plans. We deliver improved health outcomes and reduced medical costs while increasing member engagement, leading to these higher quality scores. 
 With that, I'll turn it over to our President and Chief Commercial Officer, Mary Lou Osborne. Mary Lou? 
Mary Louise Osborne: Thank you, Brandon. I am thrilled to provide a few additional updates on our new Medicaid health plan customer, Community Care Plan, based in Sunrise, Florida. It is a privilege to partner with Community Care Plan, whose mission is to be the driving force, ensuring that every community has access to equitable, high-quality, affordable health care. We are full speed ahead with the Ontrak implementation, which is advancing on schedule. Ontrak will be providing Community Care members with WholeHealth+, Ontrak Engage, Ontrak Access, a member portal and quality support for HEDIS measures. I will briefly highlight these products. 
 WholeHealth+. This is our AI-infused targeted solution for high-cost, high-acuity members. Ontrak will identify members with chronic comorbidities and unaddressed behavioral health conditions. We will reach out to the members and enroll them into the WholeHealth+ program, which consists of up to 52 weeks of whole-person, evidence-based care coaching plus access to behavior health providers as needed. 
 Ontrak Engage. This program is for members across the acuity spectrum. Ontrak will provide inbound and outbound care coaching. For inbound care coaching, members can access a care coach by calling a dedicated toll-free number. For outbound care coaching, care coaches will be calling members with the diagnosis of serious mental illness to help support their whole-person care. 
 Ontrak Access. Ontrak is an accredited credential verification organization by the National Committee for Quality Assurance and has contracts with behavioral health providers in Florida available to the health plan when needed for access and availability. 
 Member Portal. This is a dedicated portal available to all members. It includes links to well-being sites and articles to help members better manage their physical and behavioral health and well-being. 
 Quality support for HEDIS measures. Ontrak will collaborate with Community Care Plan and support specific HEDIS measures for the members that Ontrak is serving in the program. 
 We are thrilled that Community Care Plan was awarded 5 regions in the most recent Florida statewide Medicaid managed care contract re-procurement, extending for 6 years. This Medicaid award is an incredible accomplishment. Community Care Plan has a tremendous opportunity to grow in the state of Florida, and Ontrak is prepared to support Community Care Plan with its membership growth and expansion. Also, there are potential future expansion opportunities with this new customer for additional populations they serve beyond the Medicaid line of business in the state of Florida. 
 In addition to this exciting new customer contracts and implementation, we remain in the final contracting phase with 2 prominent health plans, representing over 2 million lives across all lines of business. Both health plans are interested in beginning a pilot partnership, 1 for Medicare Advantage members and the other for Medicaid members. Both health plans have approved Ontrak's financial proposals and have received Ontrak statement of work, which are in final review and approval. Both health plans have stated, once clinical and financial outcomes are achieved, there is an intent to expand to a larger membership cohort and across other lines of business. Our pipeline remains strong with approximately 26 active prospects, representing 15 million members across all lines of business. 
 Finally, we are happy with our continued progress in expanding current customer relationships. As we reported in our last earnings call, we have expanded our behavioral health products with Sentara Health, a long-standing health plan customer. Sentara is offering WholeHealth+ to a broader commercial population into a new ASO population. This represents a 6.5x increase in the number of Sentara members eligible for the WholeHealth+ program. 
 Additionally, we have executed a new Medicaid amendment to offer WholeHealth+ to Sentara Medicaid members. We are currently finalizing the number of eligible Medicaid members and go-live date, which we expect in the next 60 to 90 days or sooner. 
 We are proud of our accomplishments for Q1, beginning with Florida's Agency for Health Care Administration's approval to begin implementation for Community Care Plan and our new Medicaid health plan customer. In addition, we have executed multiple new Sentara Health amendments for an expansion of WholeHealth+ to a broader commercial population and ASO membership as well as Sentara's Medicaid line of business. We look forward to delivering durable health and financial outcomes for all the health plans and members we currently serve as well as new customers. 
 Now I'd like to turn the call over to our Chief Financial Officer, James Park. 
James Park: Thanks, Mary Lou. During the first quarter, we recorded revenue of $2.7 million, a 6% year-over-year increase due primarily to a 15% increase in total average enrolled members during the first quarter of 2024 compared to the same period in 2023. At the beginning of the quarter, we had 1,758 enrolled members and ended with 1,521 at the end of the quarter or a simple average of 1,640. That equates to revenue of about $504 per health plan enrolled member per month for the quarter, a decrease from $546 per health plan enrolled member per month in Q4 of 2023 and a decrease from $528 in Q1 of 2023. 
 Regarding our Q1 member metrics, we enrolled a total of 925 members during the quarter, compared to 654 in Q4 of 2023 and 825 in Q1 of 2023. Dividing Q1 gross enrollment by our outreach pool, which averaged 3,417 for the quarter, it annualized to a 108% annualized enrollment rate compared to 63% enrollment rate in Q4 of 2023 and 62% in Q1 of 2023. 
 The elevated enrollment rate was driven by new members in our outreach pool as a result of the expansion with Sentara. And in period that we have new members in our outreach pool, we will have -- we'll experience higher than average annualized enrollment rates for a short period of time, as these are new members who have been reached for the first time. As Brandon indicated, we've seen upwards of 60% of members enrolling on the first call. 
 Our average monthly disenrollment rate was 22% in the current quarter compared to 16% in Q4 of 2023 and 12% in Q1 of 2023. The current quarter had more disenrollments due to the customer that did not renew their contract beyond Q1 of 2024. Without the impact of these numbers, our monthly disenrollment rate for the first quarter would have been approximately 11%. 
 Further, we graduated 194 enrolled members during the quarter. This equates to about 11% of the enrolled members in the program at the beginning of the quarter, which is slightly higher than prior periods. The impact of all this was a net enrollment decrease of 237 members in the first quarter. 
 Our gross margin for the first quarter was 63.6%, which decreased slightly from 64.6% in Q4 of 2023 and 66.5% in the first quarter of last year. We have been able to maintain our gross margin at these levels due to the efficiencies in our operational processes. We expect margins to remain at these levels, but can fluctuate in periods where we have a large number of enrolled members, as we hire our member-facing employees in advance in periods where we have significant increases in our members enrolled.
 Turning to the balance sheet and cash flow. Our cash flow from operations in the first quarter was negative $3.3 million compared to negative $5 million in the first quarter last year and negative $3.6 million in Q4 of 2023. We ended the quarter with cash of $6.4 million, down from $9.7 million at the end of last year. 
 As previously announced, in March of 2024, we completed an amendment of the Keep Well Agreement that gives us access to $15 million of senior secured demand notes, which is set up as monthly drawdowns over the next year, subject to approval at the time of the draw. Subsequent to our quarter end, in each of April and May, we drew down $1.5 million of demand notes or an additional $3 million. 
 In addition, we received cash proceeds of $2 million from exercise of warrants during April, which continues to build our capital to execute on our pipeline. While we can't predict if and when the remaining warrants will be exercised, the total amount of warrants [ after our sale price ] would equate to an additional $15.9 million in cash. For Q2 2024, we anticipate revenue in the range of $2.4 million and $2.8 million. 
 Now we will open up for questions. Thank you. 
Operator: [Operator Instructions]
 Our first question comes from the line of Jonathan Aschoff of ROTH MKM. 
Jonathan Aschoff: I was curious what sort of annual revenue do you think you could attain with Community Care Plan? 
Brandon LaVerne: So I would say that we're trying to avoid specific customer revenues, but Community Care Plan, as we had indicated, we're launching in one particular county. And so it's a relatively small plan, but the -- what we don't know is how many members can ultimately come in over the course of 2025 as 1.3 million members in Florida have to choose 1 of the other 5 plans out there. 
 And so for now, it's relatively small. I would say, James, correct me, less than $1 million. However, it could ultimately end up being much larger than that in the future. 
Jonathan Aschoff: Okay. I was curious how many potential count clients comprise your current pipeline. Can you help us out with that? 
Brandon LaVerne: Mary Lou? 
Mary Louise Osborne: So our health plan customers right now, we have 3 health plan customers. But within those customers, there are multiple lines of businesses that we are offered to. 
Jonathan Aschoff: Okay. So where do you believe you may be able to add -- I mean, I'm sorry, when you believe you might be able to add the next new client? 
Mary Louise Osborne: So we are closing in as our -- as we reported in our earnings call, 2 prominent health care plans are in final stages. Both are finally reviewing our statement of work. We expect to receive customers' comments within the next 30 to 60 days. And then shortly thereafter, there would be an execution of signature, and we would be able to launch within 30 to 60 days once the signatures are finalized. 
Jonathan Aschoff: Okay. That's helpful. And lastly, did all of the disenrollment fallout from Medicaid losses gone now? Or do you expect to see more of this near term? 
Brandon LaVerne: From what I've seen -- go ahead, Mary Lou. Were you saying something? 
Mary Louise Osborne: No. Go ahead, Brandon. 
Brandon LaVerne: I was just going to say from what we've heard, the vast majority seems to be behind us. I don't know that it's complete. I know that some states have expanded the time line beyond June. And so from what we've seen, we did see significant reductions throughout the last 12 months, and it seems to have slowed significantly. 
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Brandon LaVerne for closing remarks. 
Brandon LaVerne: Thank you, Marvin. I'd like to thank everyone at Ontrak Health for their hard work and dedication to our cause, and also thank all of those who participated on the call today. Have a great day. 
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.